Operator: Thank you for standing by. My name is Eric and I will be your conference operator today. At this time, I would like to welcome everyone to the Veeva Systems Fiscal 2025 First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Gunnar Hansen, Senior Director, Investor Relations. Please go ahead.
Gunnar Hansen: Good afternoon and welcome to Veeva's Fiscal 2025 First Quarter Earnings Conference Call for the quarter ended April 30th, 2024. As a reminder, we posted prepared remarks on Veeva's Investor Relations website just after 1:00 PM Pacific today. We hope you've had a chance to read them before the call. Today's call will be used primarily for Q&A. With me today for Q&A are Peter Gassner, our Chief Executive Officer; Paul Shawah, EVP, Commercial Strategy; and Tim Cabral, our Interim Chief Financial Officer. During this call, we may make forward-looking statements regarding trends, our strategies and the anticipated performance of the business, including guidance regarding future financial results. These forward-looking statements will be based on our current views and expectations and are subject to various risks and uncertainties. Our actual results may differ materially. Please refer to the risks listed in our earnings release and risk factors included in our most recent filing on Form 10-K. Forward-looking statements made during the call are being made as of today, May 30th, 2024, based on the facts available to us today. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Veeva disclaims any obligation to update or revise any forward-looking statements. We may discuss our guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. On the call, we may also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metric can be found in today's earnings release and in the supplemental investor presentation, both of which are available on our website. With that, thank you for joining us, and I'll turn the call over to Peter.
Peter Gassner: Thank you, Gunnar, and welcome everyone to the call. It was a strong start to the year with results above our guidance. Total revenue in the quarter was $650 million with non-GAAP operating income of $261 million. As I shared in our prepared remarks, we've reduced our full year revenue guidance by about $30 million from $2.74 billion to $2.71 billion as the macro environment remains challenging. Despite macro headwinds, we continue to execute well and deliver customer success. In R&D, we saw continued adoption in all areas of Development Cloud, including three top 20 biopharma wins that spans multiple products. And in Commercial, we're making great progress on our Commercial Cloud Vision with Vault CRM and in Data Cloud early momentum for Compass is strong. We have a clear and compelling product strategy and are building a very durable company with a long runway of growth. We'll now open up the call to your questions.
Operator: [Operator Instructions] Your first question comes from the line of Joe Vruwink with Baird. Please go ahead.
Joe Vruwink: Great. Hi, everyone. Thanks for taking my questions. Maybe just to start of the change you're making to the R&D subscription outlook about $17 million. How much of that is deal timing versus some of the other factors mentioned in the stakeholder letter? And then when it comes to deal timing, curious, what are the indications from customers you're hearing that these are programs still set to come through at year-end. So ultimately, they're not lost, but they're more contributors in FY'26 than '25 perhaps?
Tim Cabral: Yes. Hey, Joe. Tim here. Thanks for the question. As it relates to the reduction in the subscription on the R&D side, a little over 50% is related to the deal timing and the enterprise business. And the remainder is related to the SMB that we discussed. Overall, if you include services there, Joe, it's more of a 60% to enterprise, roughly 60% to the enterprise business. And, Peter, do you want to take on the other question that Joe asked.
Peter Gassner: Sure. And in terms of these deals, these are normally core systems that we're selling. So these are systems that are going to need to be upgraded, modernized, enhanced over time. So our competitive position is really good. We're not losing these deals, just getting deferred. Now in terms of the exact timing, that's our forecast and that's based on a lot of individual customer discussions. So that's accurate to the best of our knowledge at this time.
Joe Vruwink: Okay. That's great. And then I wanted to ask about the Commercial Summit from a few weeks ago. There were quite a few good updates there both new products from Veeva, also sounds like good engagement with partners just in terms of how you plan to approach the CRM migration framework with both tools and processes. What would you say are kind of the big takeaways to focus on from the Summit? And then any feedback from customers or partners afterwards that you found notable?
Paul Shawah: Yeah. Hey, Joe. This is Paul. Thanks for the question. Yes. So Summit was a really great event, a great success and I would say pretty, as we brought together over 2,000 people from across the industry in a wide variety of areas sales, marketing, operations, IT. We had over -- we had about 100 customers presenting across all those areas from 50 different companies. So pretty broad-based covering everything from Crossix, Compass and what we're doing in CRM commercial content. So great event, a lot of momentum. I would say kind of couple of big takeaways. One is in the Data Cloud area, specifically in Compass. We had a lot of customers talking about what they're doing with patient data, how it's changing and how they operate and changing our business in terms of finding more customers, finding more patients, the quality of the data. So Compass had some really specific and good testimonials from customers and partners about the value that it's adding. So Compass was certainly a highlight of the event. And the other one, I would say, is in the CRM area. We talked about our vision for unifying sales, marketing and medical. We're doing something foundationally different there. We're bringing all of those together in a single vault. That hasn't been done before. That was the core of our strategy, but we announced a whole number of innovations in the CRM area that got our customers really enthused and really excited everything from our AI strategy to CRM now being involved, rethinking the content supply chain. So a number of different innovations in different areas, which create a lot of excitement. I'd also say our new products, the momentum that we have there, Service Center and Campaign Manager, we demoed them. So just within a year or so after announcing them, we're now showing demos and both of them are going to be available this year. And I guess maybe to wrap it up in the CRM space, we had our third top 20 on stage talking about their commitment to Vault CRM, why they moved, which was about getting the innovation faster, getting on that innovation train. So really successful event, a lot of momentum, a lot of announcements in a number of different areas. But the feedback was overall extremely positive from our customers. Lots of good signals about our clear product strategy in Commercial. So happy with how things went.
Joe Vruwink: That's great to hear. Thank you very much.
Operator: Your next question comes from the line of Rishi Jaluria with RBC. Please go ahead.
Rishi Jaluria: Wonderful. Thanks so much for taking my question. Peter, I want to start with you. In your prepared remarks, you had mentioned one of the impacts on FY'25 guidance is some disruption in large enterprises as they work through their plans with AI. Can you be a little bit more specific? How is that manifesting itself? Is that on Commercial? Is that on Clinical? Is that on both? And what exactly does that mean? And maybe alongside that as we think about your overall AI strategy, at least what we picked up in a lot of our conversations as companies are increasingly wanting to work with their trusted vendors on their AI strategy. Given that you are such an important partner to the life sciences industry, how do you plan on using that position to help companies with their AI strategy? And then I've got a quick follow-up for Tim.
Peter Gassner: Let's see. So the first part of it is the disruption, what we mean by that. So if you look at a year or so, a little more than a year ago, AI really burst upon the scene with Gen AI. And that causes, it became very accessible. You saw it on 60 minutes, you could log on and try it yourself, it could answer a question. So that caused a lot of pressure in our larger enterprises. On the IT department, hey, what are we going to do about Gen AI? What's our strategy as a large pharmaceutical company, biotech, about AI and that would land in the IT department of these companies. Now for the smaller our smaller SMB customers doesn't land so much. They have other things to think about, other more pertinent, very stressful things. But in the large companies, with tens of thousands of people, they're looking for these operational efficiencies that they could potentially get through AI and they have a budget to kind of get ahead of that game. So that by the word disruption I meant that through a competing priority into our customers, hey, we had some existing plans. Now this AI, we have to plan for what we're going to do on that, where are we going to spend on innovation, on experimentation, who's going to do that, what budget would we use that type of thing. So some of that would take an impact onto us which is core systems. Now those core systems, when we get that type of impact, it will delay a project, but it won't stop it because these core systems are things you need, you can delay them, but all that does is create somewhat of a pent-up demand. I guess, Rishi, there was a good parallel list with COVID, the pandemic a few years ago. That created a whole different set of dynamics with vaccines and therapies and work from home, priorities, all types of things that created a disruption, which then, okay, take the focus off of the core systems a bit and then it came back again. So that's the first part. That's the answer there. In terms of the AI strategy, our strategy is to really enable customers and their partners to develop AI applications because they're going to be very specific AI applications, Gen AI applications for very specific use cases, whether it's field information, pre-call planning, next best action, what have you. They're going to be very specific applications. That innovation has to come from everywhere. And one of the things it needs is clean data. All of these AI applications need clean, concurrent fast data. So one of the things we did started about two years ago, actually, is put in a new API on the Vault platform called the Direct Data API and that was just released this April and that provides concurrent consistent data about 100 times faster than normal API. So that's I think that's going to be a great thing. Now when we look to the long-term, some of those applications will be developed by our customers, some by partners and over time, probably some by Veeva as well. But we're concentrating on the foundation versus the APIs for the data, the core system because that's really what -- that's really only Veeva that can deliver that for our customers. So that's what we're focused on.
Rishi Jaluria: Okay. Great. That's really helpful. And then Tim you know what I understand -- go ahead.
Peter Gassner: Rishi, maybe one more. Rishi, you talked about trust, I wrote that down. That's a key part of Veeva too. We have that trust. We have to continue to earn that trust. So we don't really get into things that are too speculative. We definitely don't overpromise. The trust is the most valuable thing we have. So we'll be really targeted when we get into an AI application if we do, it will be an area where, hey, that's a use case that we're pretty sure that can be solved by Gen AI and there's not a great partner to do it, okay, then we might step in because we do have that trusted position.
Rishi Jaluria: All right. Thanks, Peter. That's really helpful color. And then, Tim, just as I think about the lower guidance, I appreciate there's moving pieces. I understand macro is really rough out there. We've seen that throughout the software earnings season. I guess the question I want to kind of delve into is, it's not a big cut. It's mostly services, a little bit of FX, a little bit of incremental macro, but we've had a lot of guide downs over the past several quarters. What would give us confidence that this is the last cut and we're not going to see further cuts from here. In other words is the outlook conservative enough and with enough conservative assumptions in it that we won't see another guide down. Thank you.
Tim Cabral: Yes. Hey, thanks, Rishi, for the question. I think our guidance philosophy, so stepping back for a second. Our guidance philosophy has not changed necessarily. We're very thoughtful about it. We look to the information that we have to inform us in our guidance and I think that's been consistent. As we look at the data and as Peter talked about earlier in terms of our sales forecast, again, we're very thoughtful in terms of that those insights that we have, specifically to our customer base because we work so closely with them on a number of things. Look, we can't promise you if other macro things continue to deteriorate materially, and that has a material impact or an impact to life sciences that we won't have to do something here. But again this is the best information we have that informs the guidance that we've given today, Rishi.
Rishi Jaluria: All right. Very helpful. Thank you so much both of you.
Operator: Your next question comes from the line of Dylan Becker with William Blair. Please go ahead.
Dylan Becker: Hey, guys. Thanks for taking the questions here. Maybe Peter, for you. I wanted to pair some of the comments you're talking about kind of disruptions and delayed decisioning from some of the larger enterprise customers versus what looks like some healthy top 20 clinical R&D momentum and adoption in the quarter. Maybe what are some of the kind of divergence areas you're seeing between those that are feeling the impacts of those disruptions versus some of those that are maybe able to leverage the opportunity and move a bit faster.
Peter Gassner: Yes, I would say what you're referring to there is in the top 20 in R&D and it's really customer-specific situations because there's only 20 top 20, it's not such a large number that you can make general patterns. I would say some companies are spending more on the AI experimentation and learning and proof-of-concepts and some are spending less. So that's one thing. And then I think with many of these customers is just timing. Timing, some have needs in this area or that area. So there's no particular pattern there.
Dylan Becker: Okay. That's helpful. And then maybe, Paul, switching over to you. You called out this kind of cross-functional collaboration between marketing, sales and medical. I understand that it's likely a multiyear journey here. But how much of an emphasis is that first step in getting the data in order showing up in the commercial strength you guys are seeing here? And maybe what that can mean as a potential value unlock for further innovation and value creation opportunities over time for the commercial side? Thanks.
Paul Shawah: Yes. This is really a long-term. It's a journey and it's a long-term vision. I think what we are doing, we're taking the opportunity because we now have Vault platform, we're able to build these different functional areas that historically, a lot of them have been separate. They've operated in separate systems. They've operated in silos, sales and marketing as one example. And we're building them into the same Vault, so they can all operate on literally the same exact customer record at the same time. So things become more real time, more collaborative, sales can be involved in a marketing campaign as one example, marketing can see exactly what sales is doing. So it's a -- it's a new way of operating and we are enabling that through our new -- some of the new products that we've announced like Service Center, which is for inside sales reps in the call center and hybrid reps, of course, but then also Campaign Manager, which is for the marketing team. And we're doing it in a very different way by building them, they all live together. That's the way to think about it. So this will be a multiyear journey. It will be something that will likely start with small and midsized customers who are able to take advantage of this. They'll move to -- likely move to Vault sooner. And we have new customers on Vault CRM, they'll be able to take advantage of that sooner. And then over time, it will be for larger customers. So this is a multiyear journey, but it's a foundational thing. When you get on to Vault CRM, you have access to all of this innovation and this ability to kind of change how you operate. So we're excited about the long-term potential here.
Dylan Becker: Okay. Thank you, guys.
Operator: Your next question comes from the line of Ken Wong with Oppenheimer & Company. Please go ahead.
Ken Wong: Great. Thanks for taking my question. Yes, this one maybe Peter or Paul, I was surprised to see multiple new Vault CRM customers were already live. What was the feedback from customers in terms of that implementation go-live time line? And then how might these early wins and go-lives impact future engagements with your existing CRM customers?
Paul Shawah: Yes. The -- so first we have -- we made really great progress in the product to be able to sell Vault CRM to additional customers. And then as of April 1st, it's the sole, go-forward solution. So every new customer after April 1 will be on Vault CRM. So it's a testament to how far the product has come in such a short period of time. So we're executing well from a product standpoint. But it's also a testament to the execution of the broader team the services team and getting the product up and running. And the feedback from customers is that it works, it's meeting their needs. Now these are smaller companies, some of them, many of them are pre-commercial companies. So their requirements are a little bit more in that early market, somewhat simpler kinds of requirements, but they're doing well and they're using the system. And it's creating a good foundation for us to expand. You have to start somewhere. We started and we're expanding now to more and more customers, and that's the foundation for what we expect the vast majority of the industry to migrate to over a period of time. So it's a really good milestone and we're happy with the adoption and the customer success so far with Vault CRM.
Ken Wong: Okay. Perfect. And then quickly, Tim, on the billing side, the $35 million cut to billings and lots of moving pieces there. Is it fair to characterize the subscription portion of that being fairly consistent with the revenue cut, the $5 million subscription revenue cut?
Tim Cabral: Hey, Ken, yeah, it's in the ballpark. The two major pieces that impacted our billings guide down was the $25 million reduction in our services revenue, Ken. And then we called out roughly a $10 million headwind from an FX perspective as the yen and the euro have gotten a little weaker in the last 90 days.
Ken Wong: Okay. Perfect. Thanks, Tim.
Operator: Your next question comes from the line of Stan Berenshteyn with Wells Fargo Securities. Please go ahead.
Stanislav Berenshteyn: Hi. Thanks for taking my questions. Maybe first for Peter or Paul. You called out in the prepared remarks Crossix had a great quarter. Can you just maybe talk through the traction there and market demand, customer trends? And also if you can touch on the fact that historically, I think, you've mentioned a goal to pivot the segment to a more recurring revenue model. Just any updates on that would be great as well. Thanks.
Paul Shawah: Yes. Sure, Stan. So Crossix, I would think about it as two parts of the business. There's the marketing and optimization side and there's the Crossix audiences and we perform well in both of those businesses and marketing and optimization. That's the one that we specifically referred to as trying to move that to more of a stable enterprise license agreement type stream. And we're early days in that. We have had our first customer move to that. It's working well for them. It allows them to be able to use Crossix really across all their brands foundationally to kind of measure and optimize their marketing. So that works well. We will continue to focus on that over time. But it's -- we're not going to do anything unnatural. It's something that we want to do in a customer-friendly way and make sure that it creates value for our customers. We have the best product there and the market has become more healthy. So we're executing well on that side. And then at Crossix audiences, we invested a whole lot more in that over the past couple of years and that's paying off. We have a really great product. And for those of you that don't know what it is, it's to get more precise in your media, so your media reaches the right patient population. We combine consumer and health data to get precise and how you reach targeted audiences. And we have the best product there and the market has also become more healthy. So we're proud of the execution and the innovation that we've done in both sides of the Crossix business.
Stanislav Berenshteyn: Got it. I appreciate the color. And then maybe a quick follow-up for Tim. So your guidance is a bit more constructive on commercial cloud subscriptions. Obviously, lots of developments there in the quarter, but anything specific to call out in terms of the driver of upside to full year expectations. Thanks.
Tim Cabral: Yes, Dan, I would say it's consistent or somewhat related to the question you just asked, Paul, we are seeing broad-based upside with specific upside in our Crossix business that drove the upside in the most recent guidance we gave.
Stanislav Berenshteyn: Got it. Thank you.
Operator: Your next question comes from the line of Stephanie Davis with Barclays. Please go ahead.
Stephanie Davis: Hey, guys. Thank you so much for taking my question. I was hoping to talk a little bit about the evolution of Compass just given you did call a bunch of healthy new wins this quarter. So when I think about the two big areas of differentiation that you first called out, you're talking about data speed and data restrictions. How did that play into the wins this quarter? And what kind of applications have you thought about building given the differentiations on the data?
Peter Gassner: Hey, Stephanie. This is Peter, I'll take that. Compass is very innovative. I would say Compass is as innovative as Vault was when we introduced it in 2011. So it was a new way of doing things and people had to adjust to it. And not everybody got it at first because it was so new and so different. So we were with early adopters. The same thing with Compass. It's fundamentally different than what IQVIA has done in the past, IQVIAs and the others, right? They started out from the days of Lipitor, where the largest selling drug was you get it at the retail pharmacy. Today, it's much different. Drugs come through specialty pharmacy. They're in office administered, hospital administered as well as retail pharmacy and the health care system is just so much more complex. So what's driving Compass specifically we have Compass patient and then we just introduced prescriber and national prescriber in January. They're very early. So the revenue and the deals are coming from Compass patients now. And what's driving it? Is it a) it's one thing that's easier to purchase, you purchase it by the brand and you get unlimited access to 80 billion patient records for use with your brand rather than just buying a slice of data, your own slice of your therapeutic area. So this allows you to explore to see what you don't see, which is why you're looking at data to see what you could see. So that's fundamentally different. The other one is it's more complete because we use a different data sourcing strategy that stresses that patient level and more accurate patient matching rather than mostly historically, the collection from the retail pharmacies. And then it's the way we deliver it daily. So the patient data is updated daily, so you can run different triggering campaigns and you have that fresh data. So it's just a new way of doing things. It's equivalent to it's like client server and then move to the cloud. It's a new way of doing things, and that's what's appealing to people now. What do they do with it? I think the most common thing is what Paul said is finding new patients and therefore finding new prescribers that are treating those patients that you didn't know about. And the second one is finding patterns. I didn't -- people that are using, patients that are using our products, that's what else they're doing or patients that aren't using our products or patients that are using our competitors' products so that's what they're doing. We provide that visibility and in some cases, we're the only one that can provide that visibility because of our data sourcing strategy can often see what's called blocked products. So a lot of detail there but I'll start -- I'll end where I start. It's a truly innovative product and that's what's attracting innovators.
Stephanie Davis: Peter, I guess just on that note, the more we go to digital pharma marketing, the more that real timeliness of the data becomes incredibly important to try to kind of be nimble on the strategy. Is that accelerating the growth at all or is this something that you always saw the demand kind of separate from the digital pharma marketing trends?
Peter Gassner: I would say in Compass what's probably the biggest accelerator is just understanding the patient. The timeliness is important for certain use cases, the daily data. But probably right now, the biggest one is like, oh my goodness, I didn't know that's what patients were doing with our product or I didn't know what those prescribers were prescribing our product or weren't prescribing our product. So that if these basic things that I think the industry has grown up a little bit to think that they can't get that information and now they can. So that's what's driving it.
Stephanie Davis: Okay. Thank you for the insight.
Peter Gassner: Thanks.
Operator: Your next question comes from the line of Brian Peterson with Raymond James. Please go ahead.
Brian Peterson: Hi, guys. Thanks for taking the question. So, Paul, it's great to see Vault CRM going live and wins this quarter. As you talk to customers and they're going through their migration decisions. I'm curious how big of a deal do you think general availability is or do you think that full functionality later this year may be a bigger swing factor? I'm effectively looking to get more perspective on any key functional points that customers are looking for in Vault CRM?
Paul Shawah: Yes. The go-lives that we have and the full functionality are important to those customers to customers that are considering migrating. But I would say what's more important to them is our direction and our innovation. What they're thinking about, they have enough comfort level. They've operated around Veeva long enough to know that when we say we're going to deliver on something from a product standpoint, we deliver. And these are great proof points, so it just extends that pattern. But the decision is really about, it's the innovation that we're delivering. It's the -- some of the things that I talked about earlier with this new way of kind of bringing together different teams, allowing them to collaborate better, solving the content supply chain challenge. Stephanie talked about digital marketing. To do digital marketing, well, you need a lot of content. It needs to be personalized. We're in a very unique position to do that because CRM is now on Vault just like PromoMats is on Vault and we're going to connect those together in a very unique way. So it's about innovation and it's about making it easy to get there. But of course having live customers doesn't hurt.
Peter Gassner: I think the live customers really are the proof point. And today we have smaller customers live because they can purchase it and go live quickly. I think the larger customers, many of them, they're eager to see when some of those three top 20s are live, how are they liking it, what was the process like to get there, what would they have changed, what would they have done differently. So it's always like that. It's a reference selling. I think that will be big milestone when some of the large customers are live now, they have to go through the migration, which will start next year. So that's going to take a little bit of time.
Brian Peterson: Great. I appreciate the color. And Tim I know you gave a lot of detail on some of the moving parts on the guidance. But as it relates to the pipeline that you mentioned moving from kind of midyear to the end of the year, was there any commonality by product or customer segment that drove that? Are people may be looking at larger deals and say, hey, they take smaller bites of the apple. Would just love to maybe get some qualitative color on what's going on behind the scenes there. Thanks, guys.
Tim Cabral: Yes. Hey, Brian, as we said earlier, that was mostly in the enterprise area. And I wouldn't say there's any commonality. These are -- Peter mentioned this is related to one of the questions on the clinical wins that we had in the quarter. These are more deal-specific, company-specific factors that drove some of this. Now whether or not or how much of a percent of the AI disruption Peter had mentioned plays into that. That may be a common factor across some of these deals, Brian? But nothing specific beyond that, I would say, was a common thread amongst the deals that we saw move later in the year.
Brian Peterson: Thanks, Tim.
Operator: Your next question comes from the line of David Windley with Jefferies. Please go ahead.
David Windley: Hi. Thanks for taking my questions. I wanted to ask you one on margin. You seem to be a little ahead, I think, of target certainly ahead of the street in the quarter and mentioned some timing of hiring. I wondered if you could talk about whether the cost savings or to what extent the cost savings were sustainable, durable savings versus just timing of adding costs like maybe hiring that might need to come back later in the year and in the next fiscal year. Thanks.
Tim Cabral: Yes. So as it relates to margin, you're right, I think it was a very good performance in Q1. And as you saw in our full year guide, David, we left operating income at the same level even though revenue is coming down. I do think, over the last couple of quarters, you've heard us talk about very focused hiring. One of the, I think, the hallmarks of Veeva is being an incredibly efficient company and being Peter and I would talk about sort of lean teams. And I do think that we're seeing that play out a little bit in some of this focused hiring that you've seen over the last couple of quarters. And the result of that is less to your question sort of additional costs. Now of course we have a large market opportunity in front of us and we'll continue to invest appropriately against that large market opportunity. But what you're seeing is a very efficient company to deliver a margin result.
David Windley: Great. Thanks for that. And as a follow-up, slightly different topic. You mentioned in the prepared remarks a couple of different areas where you're kind of breaking into what sounds like incremental, I'll call them, not brand new, but incremental client bases like the Vault CRM medical device clients that you mentioned and in Vault Basics moving down into smaller biotech. Are these incremental TAM opportunities or would these be things that you would have basically already included and contemplated in previous discussions?
Paul Shawah: Yes. Let me take those. So -- the -- let me adjust the medtech one first. That was an interesting one. It's a medtech company that is committed to Vault CRM. It will be one of our largest new deals as they scale to their full deployment. This is a company that operates like a pharma company. Their selling model is not unlike a pharma company. This is a conversion from custom Salesforce. The company is they've been talking to us for a number of years. They wanted to use Veeva CRM, but we weren't able to sell it to them. So this is one that now took advantage of the opportunity of us moving the Vault and they get all of the -- everything that we're able to offer in Vault CRM. So that's an exciting one. There are other companies like that, but that's a subset of the overall medtech CRM market. And then you mentioned Vault Basics and Vault Basics is about these very small companies and being able to get them started on something that we run and operate for them. There is no implementation. It's very efficient. It's efficient for them. We're getting them access for the very best software in a very efficient way. All of these are included in the overall market opportunity that we talked about. We talk about our total TAM. It's not additive to that. It's growing into that.
David Windley: Excellent. Thank you.
Peter Gassner: I would say on that Vault Basics. I'd just chime in there. This is Peter. That's a super interesting area. I'm very excited about that for these companies under 200 employees to get Veeva Vault systems with no implementation costs and to be able to run on our processes. So we're not asking them how would you like to configure processes et cetera. They're just moving right on to industry standard Veeva processes. We couldn't address that end of the market very well before. Now we can. And then the companies can graduate to full Vault. It is this you could start with QuickBooks and then you could just flip the switch and graduate to SAP and start that SAP implementation. That would be crazy right? That's what we're doing with Vault Basics. And surprisingly, yes, Paul is right, it's included in our overall $13 billion R&D TAM. But this segment of Vault Basics it's actually about $100 million segment or maybe even a little more that we couldn't address before. So super excited about it. And just a little more color. We have four values in the company. Staff ranked. It's do the right thing. That's about integrity, customer success, employee success. And then the fourth one is speed, that's about getting things done quickly and correctly the first time if you can. Vault Basics, that idea was started in the second half of last year, less than 12 months ago and to accomplish that already with these customers. That's tremendous. And then we have to remember that the decision the announcement to go to Vault CRM from the Salesforce platform only announced 18 months ago and the decision was just shortly before that. Now we have hundreds of the product team working on Vault CRM, hundreds of people. We have Veeva CRM successfully in stability mode. Three enterprise, top 20s committed and multiple customers live. So that I think that gives me a lot of optimism. I always thought we could slow down our speed. We would get bigger and our speed would slow down. It turns out we're going pretty fast. So I'm glad you asked about Vault Basics and reminded me of Vault CRM. So there you go. You got more than you bargained for with that question. How about that?
David Windley: Thank you. Appreciate that.
Peter Gassner: All right.
Operator: Your next question comes from the line of DJ Hynes with Canaccord Genuity. Please go ahead.
DJ Hynes: Hey, guys. Peter, Paul, I don't think we've had the chance to speak with you since the expanded Salesforce, IQVIA partnership was announced to co-develop their life sciences cloud. It's an impossible question to answer, given we don't really know what that product is going to look like. But what's the industry chatter been surrounding that? How should we think of that as a potential longer-term threat? Any color would be helpful.
Paul Shawah: Yes, DJ, I can take that. So you're right, for those that haven't heard about it, you read it happened in the quarter. And I think IQVIA announced that Salesforce has a licensed OCE with the intention the rights to use OCE with the intention of using it to build their future CRM product based on top of. So that's what the arrangement looks like. I was a little bit surprised, but honestly, given that Salesforce announced a future CRM and they're going to build it on a product that hasn't worked well in the marketplace. So OCE has played out over the last six or seven years and the product hasn't gained any traction, hasn't worked well for big customers. So from that standpoint, from a product strategy standpoint, it seems like a little bit more like a hindrance than it may be an accelerator. The other thing is, I heard some customers talking about and mentioning it at Summit. Summit it's a good place for us to check the pulse of customers, obviously share everything that we're doing in our innovation. I guess the market chatter was also a little bit surprised, I would say, it was lukewarm to slightly negative and mainly for the same reason, right? The industry is well aware of the history of IQVIA and OCE in the marketplace. So I would say, to answer your question, from an overall impact standpoint, I don't really see any impact either from a product or a go-to-market standpoint. It's not something that I see as material and potentially even more of a distraction for our competitors.
DJ Hynes: Yeah. Okay. That makes sense.
Peter Gassner: This is Peter. The one specific one I heard was, I don't talk to every customer at Summit, but a couple for sure, not quite a few, the ones that the small companies that you had heard of somebody been on OCE went with OCE. They're not happy about that because now that IQVIA is kind of getting out of that. And there's not a smooth way to get to the Salesforce thing. So that was -- that's just one specific thing I heard as well.
DJ Hynes: Yes. Yes. Okay. That's helpful. Thank you. And I was also -- I was a little surprised you had eight wins, granted, these are mid-market customers with Veeva CRM, right before Vault CRM was set to go-live. Was that just the functionality wasn't fully there on Vault CRM, which push them to choose Veeva CRM or help me understand what happened there.
Paul Shawah: Yes, it was based on -- to some extent based on their requirements. And yes, obviously, we're going to Vault CRM and the move for those companies when the timing is right from Veeva CRM, the Vault CRM is really a nonissue. It's not going to be a big deal, right? So it's not that big of a deal for a company even starting two months ago on Veeva CRM, that transition will be quite easy. So not such a big deal, but that will be the last one. So going forward, everything will be, as we mentioned on Vault CRM.
DJ Hynes: Yes. Get them over the finish line into the family and then we'll move them over when the time is right.
Paul Shawah: That's right.
Peter Gassner: Yes. I think it's really driven by the customer choice too. Remember, some of these companies, they are launching their products for the first time. Wow, at a stressful time. They know Veeva CRM so much. They know it absolutely works. They know they can migrate later to Vault CRM. They know they have five years to do it. So for some of them, it's just a derisking strategy.
DJ Hynes: Yeah. Okay. Thank you for the color.
Operator: Your next question comes from the line of Jack Wallace with Guggenheim Securities. Please go ahead.
Jack Wallace: Hi, Team. Thanks for taking my questions. Just you wanted to talk about some of the big deals that you have out there. Obviously, you can't win all of the top 20, say, in the next quarter for the EDC or CDMS deals. But as we're starting to merge time lines here, was that pipeline as well as the migration on the CRM platform to Vault. Are there conversations happening at the highest levels within your largest customers, talking about migrating to the Vault platform on both sides of the house in and around the same time and in an effect to you have a common data architecture for a broader AI strategy. Thank you.
Peter Gassner: Yes. The real straightforward answer there is, no, we actually don't see that really. The decisions in the commercial area kind of made by the commercial team, the decisions in the clinical area made by the clinical team, the decisions in the safety area made by the safety team and Compass data that's different. There are some companies that have a pretty Veeva aligned strategy. So I think we get an incremental nudge there, a little extra, I wouldn't say push, but a little extra things, just get a little easier if they have a broad Veeva strategy. But we have to win each area based on the functions and the merits and the timings in that area. And I really like that. In fact, we've set up everything about Veeva to be that way. We need to win the business in each area. That ensures we have an excellent product in each area. So I like it. It's been one of the keys of our success. We have to win the business in each area. Therefore, sometimes what you -- especially when you're a multiproduct company, you have a lot of different products, boy, the worst thing you could have is to make a sale into existing customer where your product isn't as good. That's a tremendous net negative for Veeva. So we don't want that. So that's how we operate things.
Jack Wallace: Got it. Thank you, Peter. And then, Tim, this one is for you. Just thinking about some of the changes in billing terms we saw this quarter. And it appears like move to more quarterly had been in the anticipation of last year. It didn't maybe happen as much as we would have thought. Just the check sizes are getting larger, should we expect that billing terms over time will become more quarterly versus annual particularly with your largest customers cutting the largest checks.
Tim Cabral: Yes, Jack, it's a good question. I don't think we've seen a pattern that aligns to size of deal with the payment term frequency. So I wouldn't necessarily say that, that is the pattern we're going towards or the path that we're on. I think these deal frequency, excuse me, payment frequency decisions are very much customer by customer and somewhat area by area.
Jack Wallace: Got it. Thank you.
Operator: Your next question comes from the line of Craig Hettenbach with Morgan Stanley. Please go ahead.
Craig Hettenbach: Thank you. So services has been weak for over six months now. And you're not the only company seeing an impact. Where do you think customers are with kind of rationalization of projects? And what are some things you're looking at in terms of stabilization and ultimately a recovery in that business?
Peter Gassner: This is Peter. I'll take that one. Services, we're really in that for customer success, right? That's where we can do those services and do them profitably. So we're not really looking to optimize revenue there per se. In terms of the customers and when things reach a steady state, there's going to be ebbs and flows as more things go to Veeva or more things go to partners or as we get more efficient, for example, the customers moving on to Vault Basics there. That's super interesting. Now some of those customers, granted, we wouldn't have got before because we didn't have a product that fit. But some of those customers, we might have got on the regular Veeva and that would have been significant services revenue. And all of that services revenue is longer, we're trading that off for subscription revenue. For this year, the services revenue impact by the timing of these deals. So if we have a large deal that was maybe it was going to start in Q2, but now it's going to start in Q4 that obviously pushes the revenue out. I see no macro level change in our services capability and appetite for customers. It's just in the timing. One of the nice things about these core systems of record is when there's delays, it really just, the demand gets pent up later because they're not optional. Thanks.
Craig Hettenbach: Got it. That's helpful. And then on the EDC side, for some of the ramping deals you have, just wanted to look for an update on how those are progressing and how you're thinking about contribution kind of through this year and going forward?
Peter Gassner: I'll take that one, Tim, and then maybe at first and maybe take about contribution. The projects that we sold, the big EDC deals are going well. Some of them, a couple of them, I'm thinking about they have their first studies live. Now when they do their first studies live, they pick less complicated studies. These are a way to learn and test out their processes. Most of them have significant milestones coming in the next between the next 12 and 18 months where all their new studies will be live on Veeva. There's tight integration, tight communication with our product team and our services team. So I think that's going well. That's helping to improve our product and our services offerings. I'm really very happy with our execution in EDC. In terms of how -- the ramping and how that flows into our financial results of revenue, Tim, do you want to take that one?
Tim Cabral: Sure. Yes, I think, as we've said before, on the EDC side, these are typically longer in terms of duration of the original arrangement. And the first couple of years of those arrangements are relatively small. So while there will be some contribution, I don't expect us to see a material contribution there and that's included in the guidance that we've given today.
Craig Hettenbach: Got it. Thank you.
Operator: Your next question comes from the line of Ryan MacDonald with Needham. Please go ahead.
Matthew Shea: Hey, thanks for taking the question. This is Matt Shea on for Needham. Maybe circling back to the Data Cloud. I wanted to ask about Link. It seems like nice progress there with over 100 customers now and early adopters on your newer products. Where are you attracting these wins from? Are they greenfield opportunities? Are you winning them away from incumbents? And if incumbents, there's a lot of options out there. So just curious what you've seen has been your biggest point of competitive differentiation.
Peter Gassner: That's a good question. I think it is a mix of greenfield and an incumbent, which is different than something like a CRM system or a eTMF system. There people have those systems and we're replacing incumbents. Here sometimes we're replacing incumbents that are just not as and when we do that, it's because our data quality is far superior and the software on top of it is far superior. The price is a bit higher maybe than what they're used to before on Link, but the product is far superior. We invested heavily in that product, in that data. And then sometimes, especially for smaller companies, and sometimes even for larger companies, they had no organized system. They would ask a consultant to do some market research and make some reports and things like that. They had no system of reference to go to. So those are the dynamics we see.
Matthew Shea: Got you. That's helpful. And then maybe just quickly on Vault Basics, you got a couple of customers that went live in May. Just wondering what early feedback has been, Mike. And then, I guess, given the opportunity to land more of these small biotechs that grow alongside them, how heavily do you plan to lean in on this for sort of wait for more macro recovery?
Peter Gassner: Feedback, it's probably a little early to get anything comprehensive feedback. We've gotten good feedback through the cycle. I guess that's the fact that the customers are buying even though when the product was quite early, they really buy into the concept. So far it's been smooth in the first weeks, but too early to get a lot of concrete feedback. And then in terms of the go forward, yes, we think there's certainly a pipeline there for Vault Basics and we're happy about that. I think if interest rates come down some, our funding environments get better. There can be more small biotechs starting up again and that will be more for us. But it's really -- our focus now is with these customers to fine-tune the process, make the products really, really great make the process really, really great. And then we have some expansion with Vault Basics too, some more applications we would put in there, such as our CTMS product, clinical trial management system and our QMS product. And we'll look for other things to do over time. Vault Basics for Veeva is definitely not a flash in the pan. This is a fundamental thing where we can help the industry grow in the small, emerging biotech area, be very profitable for Veeva and provide a super smooth on ramp onto the full Vault when you need to. Over time, yes, this is going to apply to CRM. This is going to apply to our commercial products over time. It was a fundamental. I just let you know, I mean, is the fundamental decision discussed deeply at the Board level last year. We view it as really, really important. Interestingly enough, some of our best innovative ideas are actually coming from the Vault Basics because it's helping us standardize. The standardization is going to help us in all types of areas and help the industry in all types of areas.
Matthew Shea: Makes sense. Thanks, Peter.
Operator: Your next question comes from the line of Charles Rhyee with TD Cowen. Please go ahead.
Charles Rhyee: Yes. Thanks for taking the question. Hey, Peter, in your prepared comments, you kind of noted that the challenging environment is causing particularly among your top 50 biopharma along with Q4 rather than Q2 and Q3. Can you talk about sort of the visibility you have for sort of that kind of comment here? Is that from just direct communications and conversations with clients that they plan to add solutions but maybe not until later this year.
Peter Gassner: Yes. Probably the easiest way, this is what your question was about as related to the deal delay that I referenced in the prepared remarks was specifically into the R&D and specifically into the large companies, the enterprise, top 50 type companies. Those are based on our actually on our sales forecast, right, on our -- these are active opportunities we're managing and maybe have been tracking for a long time. It could be six months, a year, two years. We're tracking these things. So it's based on our field teams and our product teams interaction with these customers and based on their best judgment. So it's not -- that's not done by formula, right? That's done by individual discussions.
Charles Rhyee: Okay. Got it. Understood. And then maybe, Tim, if we look at billings growth for the balance of the year, it looks like you basically estimated around 9% to 10% growth. Should we think of that as sort of the benchmark as we think about growth beyond fiscal '25? Is that sort of like a good jumping off point or because obviously billings growth has been more in the mid-teens of the past year or so. How should we think about this as maybe a new starting point?
Tim Cabral: Yes, Charles, two things to consider there. Number one, I don't want to imply or give any guidance outside of fiscal '25 on the call today. But as you think about the billings guidance that we gave today, one thing to consider is, our services revenue growth year-on-year, which, as you know, pretty much every dollar of service revenue shows up in the same year from a billings perspective. That is sitting right now at a low single percent growth. So those would be the two things that I would give more color on as it relates to our billings guidance.
Charles Rhyee: So the assumption being that as the services part of the market rebounds because that is in the current year, that's a 9 to 10 is basically kind of artificially impacted this year is the way to think of it?
Tim Cabral: Again, not implying any rebound or any future guidance here, Charles. But this services revenue growth rate relative to historical services revenue is very, very low. And it's back to some of the commentary that Peter put in the prepared remarks, specifically in terms of some of the deal timing that moved to later in the year, which just gives services less days of revenue on those new projects to implement those critical systems.
Charles Rhyee: Got it. And Peter if I could ask one more real quick is, you talked about sort of the funding environment, but one key funding for biotech was actually quite strong. Any reason why we haven't yet seen some of that maybe flow through for you guys or is that kind of two different things maybe some of that money is going more into clinical development versus technology investments?
Peter Gassner: Yes. I haven't seen the data about the funding picking up a little bit. As far as I can see, I wouldn't characterize that as quite strong yet. And still the cost of that funding is still relatively high. But there's always a delay, right? When you -- there's funding and when funding gets announced and then when you put those funds to use, there's always a little bit of delay. So if indeed, the funding environment is actually getting better, we could see some positive benefits to that, but we haven't seen that yet.
Charles Rhyee: Great. Thank you for the comments.
Operator: Your next question comes from the line of Gabriela Borges with Goldman Sachs. Please go ahead.
Gabriela Borges: Good afternoon. Thank you. I'll stay on the topic of the last question, which is, Peter, you've been in this industry for some time and we've been in the sluggish environment and spending for a couple of years now. What do you think has to change or what are your customers telling you they're looking for in order to get to a better state of spending and to see maybe a resumption in some of these mission-critical projects kind of come back to steady state. Thank you.
Peter Gassner: Yes. I mean, to be fair, we are still growing and customers are still doing things. So I can think of a lot of customers and the important projects that they're doing. So I don't want to imply at all that things are stagnant. As far as the macro environment or what could make the industry do better, I think, it's probably the things we talked about, if interest rates take a favorable turn, if some of these global conflicts get resolved in a positive way. I think if we, the industry navigates the IRA successfully a little bit more, a little bit more political and legislative stability. Those are the things that help the industry. So it's not that complicated really. They want stability, predictability and it's a capital-intensive industry, especially at the smaller end, which feeds a lot of the innovation. So it is an industry that's a little sensitive to interest rates.
Gabriela Borges: Yes. That makes sense. Thank you. The follow-up I have is on CTMS. And more specifically, how are you thinking about developing functionality across the different phases of the clinical trials, the Phase 1, Phase 2, et cetera. Share with us how that functionality is progressing and how you feel about the completeness of the solution across different phases of the trial? Thank you.
Peter Gassner: The clinical data management area, we have multiple products in there, for example, our EDC product that collect the patient data. We have randomization and trial supply management and we have, it's called, ePRO to collect the data directly from patients. All of those will work across all phases and do work across all phases today. So we have that complete functionality that works for all the different phases. But those products are in different levels of maturity. So it's really about the complexity of the trial, which generally you get in -- you get the Phase 2, Phase 3 and some Phase 4 is pretty complex. And we can handle all of those trials. But with EDC that's where we have the most proven track record. And so I would say, it's the most mature product in the clinical data management area. The RTSM is the, I would say, the next most proven and ePRO is the younger product and it just takes time to mature and for customers to have the reference selling model start to work. So we're beyond the -- I guess to answer it directly, we're beyond that stage where we could only work for certain phases of the trial, we can work for all phases of the trial, for all of our products at this time.
Gabriela Borges: I appreciate the color. Thank you.
Peter Gassner: Thanks.
Operator: Your next question comes from the line of Jailendra Singh with Truist Securities. Please go ahead.
Jailendra Singh: Thank you and thanks for taking my questions. I missed the first few minutes of the call, so apologies if you already covered this. First, I wanted to ask about the pricing environment. There have been some discussions that pharma companies have been tighter than usual on pricing negotiations given the macro environment. Have you guys seen any of that as contracts come up for renewal, even pursuing new business. And as we look across your portfolio, are there certain areas where you see less or more competitive pricing environment?
Peter Gassner: I'll take that one. No change in the pricing dynamics. And, no, there's no particular area where we see less or more. So it's business as usual there. We have to make a great product, prove the value, but no particular change.
Jailendra Singh: Okay. And then a quick follow-up, any update on the permanent CFO search process? Any update on time line or skill set experience focus would be helpful.
Peter Gassner: The search continues and it's going well. I feel it's an orderly process. We're certainly talking to good candidates. I'm not going to disclose specific progress. But I would say we're active in it and we are making progress. And we'll give you an update when we can.
Jailendra Singh: Great. Thank you.
Peter Gassner: Thank you.
Operator: That concludes the question-and-answer session. I will now turn the call back over to Peter Gassner, CEO, for closing remarks. Please go ahead.
Peter Gassner: Thank you, everyone, for joining the call today and thank you to our customers for your continued partnership and the Veeva team for your outstanding work in the quarter. Thank you.
Operator: Ladies and gentlemen that concludes today's call. Thank you all for joining. You may now disconnect.